Operator: Good morning, everyone. Thank you for joining us for the Aytu BioScience Third Quarter Fiscal 2019 Business Update Call. With me this morning are Aytu's Chief Executive Officer, Josh Disbrow; Chief Financial Officer, Dave Green; and Chief Operating Officer, Jarrett Disbrow. Aytu BioScience issued a press release earlier this morning with details of the company's operational and financial results. A copy of the press release is available on the news page of the company's website at aytubio.com. I'd like to remind everyone that today's conference is being recorded. A replay of today's call will be available by using the telephone numbers and replay access code provided in the earnings press release. In addition, an archived webcast replay will be available on the company's Investors page, under Events & Presentations at aytubio.com, following the conclusion of this conference call. I'd also like to call your attention to the customary Safe Harbor disclosure regarding forward-looking information. The conference call today will contain certain forward-looking statements, including statements regarding the goals, strategies, beliefs, expectations and future potential operating results of Aytu BioScience. Although management believes these statements are reasonable based on estimates, assumptions and projections as of today, May 14, 2019, these statements are not guarantees of future performance. Time-sensitive information may no longer be accurate at the time of any telephonic or webcast replay. Actual results may differ materially as a result of risks, uncertainties and other factors, including but not limited to, the factors set forth in the company's filings with the SEC. Aytu undertakes no obligation to update or revise any of these forward-looking statements. I now like to turn the call over to Aytu's CEO, Josh Disbrow.
Josh Disbrow: Thank you, Jess. Good morning, everyone. We're pleased to be speaking with you this morning in sharing the results of what was an outstanding quarter for the company. For the quarter ending March 31, we posted all-time high net revenue of approximately $2.4 million, and significantly reduced the company's net cash used in operations. Further, we grew Natesto units, prescriptions and revenue; launched Tuzistra XR through the sales-force and got meaningful revenue contributions from both ZolpiMist and MiOXSYS. It was a strong quarter all around. We're pleased with our momentum over the last several quarters and how we're executing against our stated objectives. We're now into the fourth quarter of our fiscal 2019 and look forward to coming out of this year very strong, having approximately doubled revenues over last year and positioned the company even better than we are today. With respect to the operational and financial highlights this quarter, there were many. First, we achieved an all-time high revenue line of approximately $2.4 million, putting us on a nearly $10 million revenue runway and growing 33% sequentially. Compared to the same quarter last year, we're up nearly 300% on a similar expense base. Also, we cut the cash burn and ended the quarter with a healthy $15 million on the balance sheet. Dave will provide specifics on our financial performance shortly. Now for some commercial and product specifics, this quarter, we continued the growth of Natesto and increased total prescriptions, units shipped and product revenue sequentially. And we did this while launching Tuzistra XR through the sales-force. Natesto again contributed the lion's share of quarterly revenues as Natesto revenue grew more than 380% over the same quarter last year. This growth came through a combination of new and refilled Rxs and a dramatically improved gross to net. We're pleased with the momentum we've captured with Natesto following our implementation of our patient support program, Natesto Direct, just over four quarters ago. We expect continued growth, given the broadening acceptance of Natesto Direct by patients, physicians and their staff. We also expect to grow by exposing more clinicians to the growing clinical dataset that, we believe, establishes Natesto as a treatment with an unmatched clinical profile in testosterone replacement. I'll share some more on the clinical results, relating to both the ongoing Spermatogenesis Study as well as two recently published head-to-head studies, highlighting Natesto's efficacy and patients' preference for Natesto over the top of Low T gels. With respect to Tuzistra XR, the launch has gone quite well. The sales-force got into the field fully in January. And despite getting into the field after the cough season had already started, we were able to capitalize on the second half of the season. While the season was more muted than last season's near-record numbers, we are pleased to have gotten back in front of previous Tuzistra writers and get many of them writing again. Having laid the groundwork late this season, we're enthusiastic about how we'll be entering our first full cough season in the fall. With the full team getting out ahead of the onset of coughs and colds, we expect to do even better and ramp prescription growth this fall and winter. ZolpiMist also made a solid revenue contribution this quarter, in what was the first full quarter in the sales-force's bag. By that, I mean, this is the first quarter, during which inventory and channel issues didn't need to be addressed as we had assumed the product from the previous owner. Going forward now, our sales-force will turn more towards ZolpiMist and deemphasize Tuzistra, as the cough season winds down. With that, we'll have a solid one-two punch with Natesto and ZolpiMist in the late spring and summer months and shift back to Natesto and Tuzistra in the fall. Also ZolpiMist has promising activity now occurring outside the U.S., and I'll close out my comments by providing some color on that. Finally, as it relates to our product performance, I'm pleased to remind you that MiOXSYS is doing quite well. As you recall, MiOXSYS is our proprietary male infertility diagnostic device that we commercialize largely oversees. Very simply, we believe MiOXSYS stands to change the way infertility is assessed and managed. MiOXSYS is now used in over 30 countries and our distribution network around the world continues to expand the installed base and add to the number of routine users of this breakthrough test. MiOXSYS now has approvals in Canada, the EU, Australia and Mexico. And the footprint of targeted approval countries continues to expand. We'll be travelling to Europe this summer to interface with the world's leading urology and andrology academicians at ESHRE, the largest fertility-focused scientific conference in the world. And there we expect to have a spotlight on MiOXSYS and the latest clinical data demonstrating its efficacy and accuracy in fertility assessments. The awareness and use of MiOXSYS are growing and we're proud of the progress being made at this business within our business. Before getting into the Natesto clinical results in more detail around the global ZolpiMist activities, let me now hand it over to Dave to cover our financials. Dave?
David Green: Thank you, Josh, and thank you all for joining us this morning. Today, I'll review our financial results for this third quarter of our 2019 fiscal year that ended March 31, 2019. A couple of housekeeping notes before the results. Earlier today, we filed Form 10-Q with the SEC for the 3- and 9-month periods ended 3/31/2019. That filing contains our full third quarter report. We also issued a press release this morning with a summary of the Q3 results. The press release, which includes Q3 summary financial statements and the 10-Q report, can be found in Investors section of our website, www.aytubio.com. And now, our Q3 financial results. Revenue for the quarter ended March 31, 2019 was $2.4 million, another new quarterly record for Aytu. The $2.4 million of revenue represents sequential growth of 33% over the $1.8 million of revenue recognized 3 months ago for Q2. Compared to our third quarter last year, our Q3 2019 revenue is up nearly 4 times. Gross profit for Q3 2019 was $1.76 million compared to $1.27 million for Q2 representing a 39% sequential increase. The increased Q3 gross profit is attributable to both our higher product revenue and a stronger gross profit margin across the portfolio. The operating loss for Q3 2019 was $4.3 million and lower than the $4.6 million reported in Q2 and 43% lower than the same quarter last year. Sequential quarter improvement is attributable to higher revenue and lower product cost, partially offset by marginally higher operating expenses, which resulted primarily from the launch Tuzistra XR. The Q3 operating loss was also $3.2 million stronger than the $7.5 million loss recorded for the same quarter one year ago, which was negatively impacted by write-offs totaling $2.7 million from discontinued products. Net loss for Q3 was $4.5 million or $0.50 per share. Turning to the cash flow statement, net cash used in operating activities for the first 3 quarters of fiscal 2019 was $10.4 million, which is approximately $1 million less than the same period of fiscal 2018. Net cash used in operating activities for the third quarter was $3.3 million, which was $992,000 lower than the cash used in operating activities last quarter. Reduced burn rate was largely due to higher revenue and lower product cost, while controlling expenses. Turning to the balance sheet, we ended the quarter with a cash balance of $14.75 million compared to $17.9 million at the end of Q2. Finally, we reported an important subsequent event, an exchange transaction with Armistice Capital that eliminated all of our outstanding interest-bearing debt and related accrued interest. In connection with the exchange, we issued approximately 5.9 million shares and 4.4 million warrants and eliminated approximately $5.1 million of debt and accrued interest. Altogether and in summary, with revenue up 33% sequentially and nearly 4X year-over-year, a 39% increase in gross profit, a nearly $1 million reduction in burn and the elimination of all interest bearing debt, Q3 was another strong quarter and continued forward progress for the company. And with that, I'll turn the call back over to Josh.
Josh Disbrow: Thank you, Dave. It was a very solid quarter for us across the board and the financials obviously speak well to that. Getting essentially to a $10 million revenue run rate this quarter, puts us in a great position and we're excited about the company's current momentum. Now, I'll speak to some of the recent clinical development surrounding Natesto. As you are likely aware, the Natesto Spermatogenesis Study is well underway. Based on the last update provided by the University of Miami and Dr. Ramasamy's research team, 56 men, now have been enrolled in the study and 15 patients have completed the 6-month treatment period. 43 men have completed 1-month and 23 patients have completed 3 months. I remind you that this study seeks to conclude whether Natesto treatment enables hypogonadal men to maintain their fertility potential, while still boosting T levels. Clinicians in the field understand very well that testosterone treatment diminishes or in some cases entirely disables fertility in men. Thus, a study that demonstrates no or minimal impact of testosterone product on fertility would be potentially groundbreaking in this field. Interim data have now been published in the peer-reviewed journal European Urology Focus, and demonstrated that at both month 3 and month 6, all semen parameters remain statistically unchanged. Specifically, patients' sperm concentration, sperm motility and total motile sperm count remain normal, while on six months of Natesto treatment. Remaining enrolled patients now need to progress on the 6-month treatment period and upon their completion this summer we expect the study to wrap up. Following that, and depending on the publication and conference plans of Dr. Ramasamy, we'd expect to see the results made public thereafter. The 2-million-or-so hypogonadal men seeking preserve fertility during their family formation years could uniquely benefit from these clinical results. So we're excited about Natesto's potential to be the only testosterone available to this large group of men. More to follow as the study nears completion. Several reproductive-medicine related conferences are scheduled for the fall. So we'd be excited to learn where final data may be presented by Dr. Ramasamy and his team. Staying on the clinical front, we also reported on two additional clinical publications reporting on Natesto. Two publications in the Canadian Urological Association Journal published online and authored by Jay Lee and colleagues, demonstrated several key factors in the first-ever published head-to-head study with Natesto. First, when patients were switched from a topical gel like AndroGel to Natesto and after being on Natesto for 90 to 120 days patients experienced significant improvements in their Low T symptoms, 15% on average and 20% improvement in overall effectiveness. Further, the vast majority of patients who switched actually preferred Natesto over their previous treatment. Over 70% of the men preferred Natesto over their gel, after having been on a gel for in some cases, years. Finally and perhaps most notable is related to the safety of Natesto. Patients who are on a topical gel demonstrated an increase in their hormetic [ph] levels during the course of their gel treatment. However, in this study, when men were switched from a gel to Natesto, their hormetic [ph] levels actually went back down, back into the middle of the normal range. This is the first such study to demonstrate this and goes a long way to emphasize the safety of Natesto, when compared to other T treatments. Safety considerations are key in the testosterone category, so we believe these results highlight an important aspect of what makes Natesto unique. These data in conjunction with the previously reported safety data, we believe will continue to improve the market position of Natesto with patients, clinicians as well as payors, and may yet again, stand to set Natesto aside from other Low T treatments. Moving to ZolpiMist, this quarter we announced our partnership with SUDA Pharmaceuticals. SUDA has commercial rights to ZolpiMist outside the U.S. and Canada. And this sublicense agreement allows for Aytu to benefit from rest-of-world sales through this perpetual milestone-based and royalty-bearing sublicense. Through the term of the deal, SUDA will purse commercial sublicenses around the world, and Aytu will be eligible to receive a portion of any country-specific deal they make. We'll receive a portion of upfronts, a portion of any regulatory and commercial milestones, and ongoing royalties for all future sales. SUDA has already put sublicensing deals in place in major markets like China and South America, and has just announced the sublicense with Mitsubishi Tanabe that covers Southeast Asia. Further, they recently announced their submission of ZolpiMist to the Australian TGA for approval, which if obtained would result in an early 2020 approval. This would be the first approval of ZolpiMist outside the U.S. and one of more we expect to follow as SUDA builds out the global footprint. In closing, we recently expanded our Board of Directors with the formal appointment of Steve Boyd to the Board. Steve is a respected and very knowledgeable healthcare investor. And he is the founder of Armistice Capital. His joining the Board marks an important point in our history, whereby we've been able to attract a high caliber of industry professionals and now a well-respected healthcare institutional investor to our leadership team. So we're pleased with the many accomplishments from this quarter and look forward to providing additional updates, as we continue to execute. With our prepared remarks now complete, we'll pause and open the phone lines up for questions. Jess, go ahead and open the lines.
Operator: Thank you. [Operator Instructions] We'll go first to Jeffrey Cohen of Ladenburg Thalmann.
Jeffrey Cohen: Hi, guys. How are you doing?
Josh Disbrow: Good morning, Jeff.
David Green: Hey, Jeff.
Jeffrey Cohen: So could you talk to us a little bit about the schedule for Tuzistra and what you'd expect, because we believe that may be advantages to be via 203? Could you talk about that a little bit?
Josh Disbrow: 203, I'm sorry. I missed that part of the question.
Jeffrey Cohen: Yeah, the Schedule III versus Schedule II for Tuzistra.
Josh Disbrow: Yeah. Thank you, Jeff. So it's a subtlety you picked up on. I think that's important as we move into this category. So, obviously, we acquired Tuzistra XR. We acquired it fairly late in the season, got into the field in January, as I noted in my prepared remarks. And it got off to a very nice start. We'll, obviously, now have some wind in our sales, heading into the fall, where we can get ahead of sampling and really see the market prior to our first full cough and cold season. But the point you made around Tuzistra being a Schedule III versus being a Schedule II is relevant and it's frankly quite subtle. Obviously, the DEA has begun scrutinizing controlled substances, specifically opioid based products. And most of those products, inclusive of really the long-time market incumbent is a Schedule II by the DEA. So that is inclusive of products that primarily contained hydrocodone. Interestingly though, codeine is also a Schedule II, making it a little bit more challenging, in fact, in some states extremely difficult for physicians to prescribe and in many cases not even maintain samples in their offices. What's important about Tuzistra XR is that while it does contain codeine, because of the dosage, because of the dosing related to the extended release polistirex formulation, Tuzistra XR is actually a Schedule III, so providing a significant advantage in the marketplace. In that, there's obviously a safety element to be considered and a physician obviously has a practical component whereby they can more easily, more readily write a Schedule III like Tuzistra than they could a Schedule II, say, like Tussionex example, which is the long-time hydrocodone-based market incumbent. So it enables us to get better access to the physicians from a pharmacy perspective. It enables better access as well, and ultimately offers, we believe, a safer alternative for patients to get relief from cough with a Schedule III versus a Schedule II product. So, we'll obviously - we have begun showcasing that, we'll begin elevating that as we get back out into the field here following the summer months, and get into cough and cold season.
Jeffrey Cohen: Okay, got it. That's very helpful. And then, I guess, my question is can you talk about mix a little bit? I know, you don't specifically break down your portfolio. But how do you expect that rolling out over the next, about six or seven quarters, generally speaking. I know, you got to wrap up the year without any cough and cold season. You got a little early in the year. And talk about that and maybe what the mix looks like in four, five quarters as far as the composition is currently configured? Thanks.
Josh Disbrow: Yeah. Yeah, you rightly pointed out that cough and cold season is - we're sort of coming out of that. So, as we get into next fall, as we build Natesto, we obviously expect Natesto to continue to be a big part of our revenue story. Obviously, it's a significant product with a big opportunity as we go forward. But what I'll say is, generally speaking, we expect a more balanced portfolio going forward. That obviously will impact our overall mix. Gross to nets, we think will be positively impacted by that, really by virtue of just a more balanced contribution. Not guiding specifically to what percent each plays, we would expect Natesto to be a significant player and carry a lot of the water for the company. But frankly, ZolpiMist and Tuzistra, they compete in large categories as well. There is between 30 million and 35 million antitussive prescriptions written annually. There is over 40 million sleep aids written annually in the U.S. So very large market opportunities to complement, what is about 7 million Rx category and the testosterone category. So while those are lower price points in the ZolpiMist and Tuzistra categories. There is we think ample opportunity to be meaningful contributors in the out quarters as we grow. So that hopefully gives you at least some sense without giving you specific in terms of what exactly contributes what.
Jeffrey Cohen: Okay. And one more, if I may, could you talk a little bit about sequential growth? I think we were estimating mid-teens, generally speaking, on the quarterly basis. And it looks like, what was this, 32.1% this quarter; could you talk about that generally speaking? Should we be thinking that you can sustain 20s on a quarterly basis? Thanks.
David Green: Jeff, we - yeah, we are, obviously, don't guide at this early stage of the company's lifecycle. But we do expect to have something in the range of doubling of revenue for year-over-year and next year, continued growth, obviously, not at the same 100% growth rate. But without getting into the quarter-over-quarter, the company will continue to grow at a very healthy clip. And there is a lot of new revenue that we expect to come on board, especially with Tuzistra and the seasonal aspect of Tuzistra will change some of the quarter-over-quarter dynamic that we've experienced this year, just due to the seasonality and the seasonal nature of the cough/cold season. But big picture, year-over-year, very, very strong; next year, we expect to continue growing, although, not necessarily at the same high rates that we grew this year. But overall, continued very strong growth.
Operator: [Operator Instructions] We'll go next to Carl Byrnes at Northland Securities. Your line is open, Carl, please go ahead.
Carl Byrnes: Yes, a quick follow-up with respect to Natesto. Can you comment at all with respect to what you're seeing in terms of sequential total prescription growth? Obviously, we're seeing nice revenue growth. And I would expect you're seeing also accompanying strong prescription growth, but improvements in gross to net as well? And then, a follow-up on that, just in terms of the timing of the top-line readout of the Spermatogenesis Study? Thanks.
Josh Disbrow: Yeah. Thank you, Carl. So with respect to sequential growth, yes, absolutely we saw nice sequential growth from a prescription perspective. We look at total prescriptions and refills, which really is the most encouraging thing that we look at, the fact that we have men that are getting on therapy and they're sustaining that therapy. So even in a quarter, when frankly we have a significant improvement in gross to net, we continue to hold up prescription sequentially, which was very, very nice to see. So we, obviously, had a product launch with Tuzistra. We launched it as a secondary. So we still were able to maintain Natesto on a primary position and saw a double-digit prescription growth sequentially from our Q2 to our Q3, so very excited by that. Again, in the face of gross to net that really resembles a very healthy pharmaceutical gross to net. We don't publish it by product, but you can get a sense, obviously, going across the portfolio how things are looking gross to net to 70%-plus across the portfolio. And that is frankly you would hold that up against of any major brand in the industry, so very pleased with that. With your second question relating to the readout of Spermatogenesis Study, we're obviously getting close. We are excited about what we're hearing from Dr. Ramasamy and his group in terms of how patients are progressing. Obviously, in my prepared remarks, we framed up where patients are. We do expect the study to wrap up this summer, June/July timeframe to be specific. The timing of a specific readout is a little bit more difficult to pin down, because this is an investigator-initiated study, meaning, it's a study really dictated and driven by Dr. Ramasamy. He obviously has very high hopes and high expectations around this, such that we would expect him to target a high-impact location, a high-impact scientific conference to present the data, and potentially follow that or precede that with a publication at a high-impact journal. So we'll be a little bit removed in terms of the exact timing. But we'll try our best to key investors updated with respect to when the study completes and if there is a plan to submit it or present it, we'll obviously try to keep folks appraised of that timing. But generally speaking, June/July readout in terms of them having access to the final data and then a publication and/or presentation to follow shortly thereafter.
Carl Byrnes: Great. Thanks and congratulations on the progress.
Josh Disbrow: Thanks, Carl.
David Green: Thank you.
Operator: [Operator Instructions] And it looks like we have no further questions at this time. I'll turn the conference back to management for any additional or closing remarks.
Josh Disbrow: Great. Thank you, Jess. Thank you for the questions there and thanks to all of you for listening to the call today. And thanks for those of you that joined via webcast. We're pleased with our Q3 performance and based on how this quarter, Q4 is already setting up, we're looking forward to posting another positive quarter. We think doubling revenue from last year to this year makes for a very solid fiscal 2019. So there is more to follow on that front. And we'll certainly provide complete details on our next update call. So until then, have a good day and thanks again for listening.
Operator: Ladies and gentlemen, that will conclude today's teleconference. We thank you for your participation. You may disconnect your line at this time and have a great day.